Claudia Kellert: Welcome to our conference call about the business development and the financials of the first quarter 2022. Furthermore, we would like to give you an outlook on our expectations for the upcoming months and on the possible impact of the terrible war in Ukraine and the shutdowns in China on our business. On behalf of SGL Carbon, our CEO, Torsten Derr; and our CFO, Thomas Dippold will lead you through the call and will answer your questions after the presentation. Mr. Derr, please go ahead.
Torsten Derr: Yes, Claudia. Thank you very much. Good afternoon, everyone. This is Torsten Derr and I'm very happy because we had a very strong start in 2022. Our order books are filled, our plants are running flat out, and Thomas is going to present you later on, excellent figures. But I would like to start with a different topic and can you please advance to the next slide. And this is the war in the Ukraine and there is until now, hardly any impact of this war, and I would like to start with the first point. We don't have any employees or assets in the Ukraine and Belarus or Russia. So, not affected by any shutdowns. Our sales, which we had in Belarus and Russia, are much less than 1% and we stopped this business directly after start of the war, and it was pretty easy for us to compensate this in other regions. So, also checkmark at sales, no impact on the sales side right now. Our transport routes were partly affected. We used to save CO2 with the Trans-Siberian Railway, which is not possible to use anymore for transport from Europe to China and we switched to sea transportation, also checkmark, no impact on our business. And for the energy price increases, which we observe, and they are significant and we decided here for very special strategy. We hedged the volumes and the prices of 85% of our energy exposure, because our order books are so full, and we want to run our plants at full capacity. So this was the strategy and it seems to pay out. Of course, there is a risk of a gas embargo but this, we cannot see right now and has not impacted at all our business so far. And with this outlook to our Ukraine position, I would like to hand over to our CFO, Thomas Dippold.
Thomas Dippold: Hello, everybody. This is Thomas Dippold. Yes, thanks Torsten for the handover, and maybe as a summary, I would like to present you, how we performed so far in the first quarter. We have reached EUR270.9 billion Group sales, which is 12.2% up compared to the same period last year. Our profitability reached EUR36.8 million, which is again an increase of 11.5%, which is also good, and this keeps the margin more or less intact. Our equity ratio increased further by another 3.6% starting from 27%, which we had at the year-end and we are now at 30.6%. So this is exactly the lower end of our target that we wanted to reach with the equity, and when we compare it, that end of 2020, we had an equity ratio of 17.5% and now reached 30%. This is a remarkable increase that we see there. A good news that has reached some 1.5 weeks ago. Moody's, the rating agency, upgraded our corporate family rating from CAA1 to B3. So, we also see a further acknowledgment of our of our efforts in strengthening the balance sheet and of course, raising the profitability of SGL and this is good recognition also from Moody's, and we are very happy about that. Talking about the business, I think, Torsten has summarized everything so far. So far, the risks except the gas embargo from Russia, everything so far seems to be manageable. At least in Q1. We didn't see anything, which we couldn't compensate. There is still a good order book and the demand from our main markets like LED and semiconductors, especially in the JS business, is very strong and ongoing and also the industrial business is catching up and recovering. This is good news also for the upcoming months. The energy prices, as Torsten said, have been secured to a large extent and the prices have been fixed. It's affected also a little bit in this relation at Q1. We come to that later, especially when we talk about the business units here. And last but not least, the corona lockdowns that we see in China, especially in Shanghai, yes, they do affect in a certain way. The logistics and -- but so far, we have managed somehow to keep our production facilities up and running. Coming to the outlook, we still confirm with the Q1 figures, what we presented with our full-year 2021 report, some 4, 5 weeks ago. We still confirm our guidance from today's perspective, which is EUR110 million to EUR130 million EBITDApre and the sales shall be approximately EUR1 billion, as we published. When we look at particular development of our profitability on Slide 6, if you don't have -- or can't follow the presentation online, but have it maybe as a print out from our website. Then you see that our sales reached EUR270.9 million compared to EUR241.5 million in the first quarter of last year and the EBITDApre reached EUR36.8 million, which is another EUR3.8 million up compared to the same period last year. And in fact, the margin of the EBITDA remained almost the same. We have reached 13.6% compared to 13.7%, which we had last year. And this also shows that on the one hand side, our savings, which we had from our transformation, are sustainable and can continue with that and it follows on. And the other interpretation of this profitability, is maybe also valid that we can say, every increase of the cost can also be put to the customers, so in the end, to keep our margins intact. When we look at which business unit contributed to that sales increase of 12%, then we can say it's a broad based development. Every operative business unit contributed to that. First to mention, Graphite Solution with EUR11 million increase compared to last year's Q1, Composite Solutions with EUR7.2 million, Carbon Fibers with EUR6.6 million, and last but not least, Process Technology with EUR6 million flat. When you take a deep dive into the relevant BU's, you see on slide number 7, how Graphite Solutions performed. Sales went up by 10.4% and reached now EUR119.6 million and the driver for this top-line development, is mainly the ongoing very strong development in our semiconductor and LED business, they see an increase of more than 50% year-on-year and this is a business which is very strong, regarding the margins. Our industrial business is also catching up and recovering and we see a further improvement also there. The profitability rose further or grew stronger than the sales did. The EBITDApre reached 13.1% up compared to Q1 '21 and has now reached EUR25.9 million. The margin is 21.7%, which is more than half a percent up compared to the same period last year, and this also underlines the very strong development that we see in our Graphite Solutions business. They could as overcompensate the higher raw material cost, the energy cost, by additional cost savings and price increases, and this really showed that the margin improvement that we have there. And coming to the smallest of our business units, which is Process Technology on Slide 8. This is the business unit -- the smallest business unit, as I said, with the highest growth percentage. This went up by 31.1% which is -- and reaches now EUR25.3 million. And we mentioned at the end of last year, that the order intake was very strong in Q3 and Q4 and this materializes now into sales. So they went up by over 30% and also the profitability went up by EUR2.5 million. You can't express that in percentage, because in Q1 last year, PT made a loss of EUR0.5 million and they are now reaching EUR2.0 million EBITDApre, which is a very strong development. They really achieved the turnaround in the first quarter and we are very happy and very proud with it. The margin of the EBITDApre compared to sales has reached almost 8% and this is really a development that goes into the right direction. They also made it that they could pass on the higher raw material cost, which is mainly steel for them, to the customers and they also see, with the increased sales, a higher utilization of the production facilities. On Slide 9, you see the development of our Carbon Fiber business unit. They also saw a strong increase in the top line, despite the fact that they are almost fully loaded, which goes in line with the way they produce, because there are ongoing lines that are permanently being run, and they could increase the sales without any capacity increases by another 8%, and there are two reasons for that. On the one hand side, it's a higher demand from automotive, which has higher margin compared to other businesses. And the second reason for that is, that the prices could be increased with the customers, in an overall effort, and this also boosted the top-line quite substantially. However, the EBITDA went down significantly by over 60%, coming down from EUR13.9 million in Q1 '21 down to EUR5.4 million in this first quarter of the year 2022. And the reason for that is, that we have some one-off costs related to the energy transaction, in order to make sure, as Torsten has pointed out, that we can run the whole year with fixed energy prices, and this is to secure our production and also supply capabilities to our customers. So whatever happens on the energy price development, we will no longer be affected by that, because to a large extent, we are secured price-wise, for the full year. On Slide 10, you see the development of our Composite Solutions, the second smallest of our business units. Last year, we could report a turnaround starting from Q1 and this has even further developed. The sales went up by over one quarter. They have reached now 25% increase, reaching EUR35.8 million in the first quarter 2022. So, the whole upward trend is confirmed, and this is mainly being driven by our automotive customers. When we look at the bottom line, the EBITDApre, there we see a very strong development coming from EUR1.8 million in the first quarter last year and it reached EUR6.3 million in the first quarter this year. So where does it come from? On the one hand side, we have a higher capacity utilization. We have further cost savings from our restructuring efforts and we are focused on very high margin products and all this boosted our profitability quite substantially. However, there is a one-off effect in the EBITDApre, compensation payments from automotive customers, which affected the EBITDApre and they are not the case that this can go on throughout the whole year. So EUR2.4 million out of the EUR6.3 million one-off compensation payments, which are shown in the EBITDApre. So operationally, the result has slightly more than doubled, reported, the results have tripled. Last but not least, on Slide 11, you can see also the development of our Corporate business unit, which is the only non-operative business unit, where we just comprise all corporate functions and corporate services. And there you see that the sales have gone down significantly, and we did that intentionally. With the sale of -- or with the divestment of all non-core or non-operative lands and therefore, we don't get any rental incomes any longer from the properties and also with the services, which we can't charge to any divested businesses anymore, the sales go down significantly by EUR1.7 million and again, this is also our intention. Our Corporate business unit shall be a lean internal service provider, which is just supporting the corporate needs that we have, but not doing businesses for other parties. Some two years ago, we still saw some -- on a full-year base, some EUR30 million sales there. And this year, it will be around EUR10 million and this is just whatever we charge to our joint venture in Meitingen, that is Brembo, and all the other costs are just the overhead cost that are remaining for SGL. When you look at the EBITDApre, you see a remarkable improvement coming from minus EUR5.1 million in the first quarter last year and we now achieved only, so to speak, minus EUR2.8 million, which is an improvement of EUR2.3 million compared to the same period of last year. And the reason for that is, we've done our homework in our transformation. We have lower personnel and lower administration cost. Indirect spend went down significantly and in the end, with slower sales and better profitability, we have a EUR4 million improvement overall in this business unit. On Slide 12, I would show you may be the most relevant KPIs besides sales and EBITDA of the various business units. We have a strong development, as you can see here on the left side of our net result. You probably remember, before 2021, our net result has been negative for many, many years and now in Q1 of this particular year, we reached a net result of EUR21.4 million, which is an improvement of EUR15.3 million compared to the same period last year. Half of it, which is -- or to be precise, EUR8.5 million, is a one-off effect coming from the sale of our heritable building right in Griesheim, we published on 30th of March via a top message to the capital market and there's more to come later throughout the year. When we look at our equity ratio, then we see that we went up and I mentioned that at the very beginning, by another 3.6%, which is good and the driver for this development is on the one hand side, the strong profitability, which we show in Q1. And the second is also, and this is worthwhile to mention, that the long-term interest rates, are also that they went up, and this also helps regarding the valuation of our pensions and the relevant counterpart and is over the equity. And last but not least, although the net financial debt went up only slightly by 4%, which is -- well, we expected that, but still it went up a little bit. However, it's minus 20% if you compare it the same time of the year, last year. And last but not least, maybe worthwhile mentioning, our ROCE, Return On Capital Employed, has now reached 8.3% and this is another 0.3% improvement compared to the same time last year. So I think I could show exactly what Torsten was mentioning at the very beginning. We had a very good Q1. We are very happy with that development, and I think the figures show that what Torsten has promised at the very beginning. And I hand back to Torsten to guide you further on, through his presentation.
Torsten Derr: Like this sentence, our operational challenges are manageable and the geopolitical effects are difficult to predict. And I want to show you what we mean with this. Our drivers of the business fundamentals are very stable. We have a strong demand in all business units, and our order books or the order backlog is very comfortable right now. And the orders are not going down through this Ukraine effect. Especially the semiconductor and the renewable energy industry is supporting our business, and we also see no sign of decline there. We were able to sign contracts for very nice automotive businesses in the business unit CS, and with all the price increases, which are coming from energy, from raw materials and also from transportation, we were able to pass this on to our customers. What also helps, is our transformation project or the cost saving project. This is supporting to protect our P&L and as Thomas just presented to you, our Q1 figures were really excellent. Of course, there are risks and I think, we were able to mitigate all of the risks, which are operational. Raw material prices went up and also, some raw materials are just scarce. It's hard to get them, and we reacted by multiple sourcing and we managed it. There was no day of production stop in any of our plants right now. Energy development, I already mentioned this, the chart at the very beginning. We decided to hedge 85% of electricity and also 85% of our natural gas demand and this enables us to run through, because we have so many orders that we just want to produce, produce, produce, and this is what we did for the first three months. And last but not least, I want to mention again -- I think, it's the last time that I mention it, is the BMW i3, we have a very nice carbon fiber contract here and this contract expires by end of June this year. But the wind energy market is running so strong, that it is pretty easy for us to push all the volumes, which went formally into the i3, into the wind energy businesses. There are of course risks, which are shutdowns at customers -- for example at automotive customers, supply chain disruptions in China and embargo of Russian gas, which has not materialized so far, and we have led about every month, which we perform, as well as we did in the first three months. On the next slide, you can see that we confirm our guidance. We guide the capital markets to a top line level of slightly above a $1 billion like prior year and EBITDA, which is our most important parameter, will be between 110% and 130% and it's worthwhile to mention, that Q1 was little bit above our expectation. So coming to our summary, as I said in the first slide, there is hardly any impact so far from the war in Ukraine. Our top line is strong and the results are very good. Our order situation and also the order backlog, is on a very good level, driven especially by customers from LED industry and semiconductors. Of course, there's a little bit of headwind coming from raw materials, energies and also transportation, but we found our way to mitigate this price increases, and I told you that we hedged 85% of the energy. This enables us to run our capacities flat-out. We were able to pass on those higher raw material and energy costs to a large extent to our customers, and this is the reason why our results are so excellent in Q1, and we also confirm our guidance. We are well prepared for everything, which happens and what will happen. With this, I would like to hand over back to Claudia.
Claudia Kellert: Yes, thanks so much. Now, we can start our Q&A session and the moderator will give you some more instructions, on how to ask a question.
Operator: [Operator Instructions] The first question is from Andreas Heine from Stifel. Please go ahead.
Andreas Heine: Actually, I have a number of them. Most of them are very short, one is a little bit longer. I'll start, this pension -- nicely reduced the pension provision to about EUR20 million. However, if I look on the sensitivity provided in the annual report, I would have expected sharper decline, maybe you can elaborate and this? I have more question, I would like to ask them one by one, please?
Thomas Dippold: Well, we've done everything that we could in order to reduce the pension, Mr. Heine. In fact, we have done a global approach on all the pension schemes that we had and all voluntary pension schemes have been, so to speak, frozen. We've done that in Japan, we've done that in France, we've done that in U.K. and also in the United States, we sold certain parts of the pensions, and we funded them also, especially in the United States, to a large extent. And we introduced a kind of a capital option also here for the German pensions so far. But we haven't said that the whole pension project is finished. We are still on our way. This is some discussions and some changes. They require a lot of preparation and a lot of interactions also with our Workers Council and so on throughout the world. We are not done there, I would call it this way, but of course, we've done our homework and rising long-term interest rates also helped, but we think there's more to come, Mr. Heine, and we have not done that with the pandemic...
Andreas Heine: I acknowledge that you did a lot. I was just referring to the discount rate. If I would take -- if I take the sensitivity in the annual report, just with the discount rate, not talking about any other activity, I would have assumed that pension provisions would have come down by EUR30 million, EUR40 million just by the movement in the first quarter. I'm asking this because obviously interest rates are on the rise also in the second quarter and I have more hope for that, that has an higher impact? I just wanted to know whether there is any, in the technicality I missed?
Thomas Dippold: No, we went down by EUR18 million. So, in fact, we -- this more or less reflects also the changes in the interest rate. And you're right, also in the first quarter and also in the second quarter, it went up quite a bit. So in April, we see again rising interest rates. So if it continues, we will also see an effect in Q2. In fact, our figures, we did that to a large extent with our auditors. So we don't see, if there is anything wrong with the way it develops. But we double checked, just to make sure that everything is in line, also with our sensitivity analysis here.
Andreas Heine: Okay, thanks. Then corporate costs, that was a great success indeed, and according to your comments, that is now at sustainable levels. So in our models, we should look to, let's say, EUR3 million instead of EUR5 million to EUR6 million per quarter?
Thomas Dippold: Somewhere in between, then you are on the safe side.
Andreas Heine: Okay. That was the second one. Third one I have seen in the cash flow that there was restructuring outflow of EUR11.5 million. Is there more to come in this year, on this restructuring outflow, I mean?
Thomas Dippold: No, that's even -- outflow, no. The large extent that we have there, this is because some -- for the former employees, left, and finally the company and this is why the restructuring costs were in this Q1, and this is definitely the larger portion than the restructuring cost that are about to come in the upcoming quarters.
Andreas Heine: Then Graphite -- just for clarification, so you talk about a strong order book. So, I would assume that book-to-bill is still above one for Graphite Solutions only?
Torsten Derr: Hi, Andreas. Yes, it is and order entry was so strong that we went in sales control in March. That means, there were more orders than we can handle by capacity and we waited with order confirmation a little bit, and then decided and picked out the best on order entries' excellence, and this is true for all business units.
Andreas Heine: Well, that's a luxury problem, I guess. Now, I come to the last, but this is a little bit longer. I really do not get my head around about the Carbon Fibers. So if I adjust for the EUR9 million, then you have achieved EUR14 million underlying. I would assume the same level in the second quarter, which is the last one for the BMW contract. If I strip out the Brembo joint venture, which is ballpark number EUR4 million a quarter, and that gives me EUR10 million. What is what I should look then for the underlying business, which obviously drops with the BMW contract in the second half? So what is, what I have to have in mind, excluding BMW, but including the wind energy? If I look to your guidance and this is what you said on the corporate cost and with Graphite is, if I take the upper end, the 130 and look on the trends in the first three segments and driven down what is then left for Carbon Fibers, then, if I take very seriously the upper end of the guidance, then there is now basically nothing left except the Brembo joint venture, what you're baking into the second half for Carbon Fibers. Maybe you can help me to -- what I can look forward into the second half and then obviously, what that means for the coming year?
Thomas Dippold: Yes, Andreas, in fact, I like your math because I also like simple calculations. If you take one quarter and take it times four or take it times two, and then deduct just the potential impact of the BMW, impact from the expiry of this contract, this is true. We know as many others -- I mean, we are not the first one to report in this quarter, but and we've listened carefully also what other companies, especially, which are a little bit in our industry and high energy companies what they report. If you take it everything literally, then I can follow what you are saying. I mean, in the end, we gave a range of our guidance and this also expresses the kind of uncertainty that we still have. So far, we are only first three months into the new year. We are just about to finish April and we are talking about potential gas embargos and how we can run, shall we have the private households. At first, just in case, it comes to a scarcity of gas or shall we run at least some kind of critical infrastructure and so on. So there's a lot of uncertainty in the market. And so, is it -- also especially in the second half, also price wise, are we really able to pass through all the energy costs also to the wind energy and so to speak. So in carbon fibers, this is the business unit that changes -- change in the way they produce, as we probably never seen before in this business unit, because this contract with BMW is quite substantial and also the profitability. We do have plans to pass it all through, but we first want to see it until we are really convinced that this is sustainable, and we can rely on that. But there are huge efforts and I think, the business units has done a great job in acquiring the order book with wind, but now we need to materialize also the profitability that we expect with the prices and the cost that we are facing there. So, the guidance that we gave, the range -- I mean, you mentioned upper end. If I follow your math, then I can follow you and I can see how you calculate. Again, there is another 9 months to go for us and our guidance that we gave, expresses all the uncertainty regarding all the effects that Torsten was mentioning, the manageable risk, but also the ones that are not in our hands. And just in case we gain a little bit more clarity, we are more than happy to limit the range of our guidance or to adjusted, in case if needed.
Andreas Heine: Yes, that's very fair. If I may add one comment. So if I put it in other words, what you told me, then there is uncertainty, let's say, from this geopolitical and macro picture, neutral segments. And if I drill everything down to corporate and to carbon fibers, then I'm too negative. Is that fair?
Torsten Derr: Yes.
Andreas Heine: These were all my questions.
Torsten Derr: Thank you. Do you have your figure now?
Andreas Heine: I'm not allowed to share, as you know.
Torsten Derr: Okay, very good.
Operator: The next question is from Richard Schramm from HSBC. Please go ahead.
Richard Schramm: First point I would like to touch is, the pricing where you signal that you are very successful in passing on the higher costs to customers so far. So I'm just curious to hear, if there are kind of automatism that allows you to do this or what is the driver behind the successful development, because you're standing out a bit with this, as most companies complain that they have at least a certain time lag to bridge in passing on the higher input costs they face?
Torsten Derr: Yes. It is both, it is hard work and it is automatism. Especially in the automotive contracts, we have price escalation clauses. They are based on the main raw materials and if the raw materials increase, we can increase the prices for the next month. But I would say the majority of price increases is really hard work, especially in the Carbon Fiber and in the Graphite segment. We went through the list of all our customers and depending on profitability and strategic position of the customer, we decided for a brute force, price increase or a softer approach. And I have to say, compared to other businesses I was in, we are very successful in doing this. We approach the market and with a very good position, especially in Europe where most of our customers are, and it went much better than we expected at the beginning of the year. What helped is that we started this raw material cost pass on already in the second half, beginning of the second half of last year. That means all preparatory work was done, and now, we are going to execute. This is why it runs well. And what I can say, we are right now starting the third round of price increases. So the story has not ended, we are going to further increase prices.
Richard Schramm: Interesting. Then, I have a question on this energy hedging, you mentioned that 85% of your energy consumption for the current year is fixed lease, relatively limited amount of 15%. But on the other side, obviously then, this means that for the time beyond the current year, you're not hedged or then when the new contracts for 2023 will be negotiated, end of this year, you have to take then what the market offers though, what is your policy there? How long are you fixing prices usually?
Thomas Dippold: Yes. Pretty easy. Certain share, which I'm not allowed to mention, is already hedged for the next year for pretty good conditions. And for the remainder and so we go to go tried a similar approach like this year, we want to hedge between 80% and 90% of our total energy consumption, and the delta between what we have hedged so far and what we want to hedge, we are closing 10% of it every year and we look into the data, because you know, we are running 29 production sites in various countries of the world and when we think it is a good opportunity, we close the deal either for electricity for natural gas, with a target to have end of the year 80% to 90% hedged. We run batched approach, that means guaranteed energy supply is more important for us than the cost itself, because we have to run our capacity flat. Our capacity utilization is a big driver and as our order books are so full, as they are, this will be also next year our strategy. I hope, this helped you in how we are going forward.
Richard Schramm: Yes. So, if I understood correctly, then, this means that 80% to 90% of costs are fixed then end of this year for next year already, so that you always have 12 months, let's say, on a rolling basis, fixed?
Thomas Dippold: Yes, yes. This is our way and at the end of the of the year, we can give you the exact number, how much we have hedged then.
Richard Schramm: Okay, thank you. And last point I'd like to touch is the inventory had a significant increase here, and of -- what was it about $25 million in inventory. Is this also including kind of safety buffer for the supplies or is it just reflecting the volumes for customers you have on hand, and the contracts you will work on in the next month, so that we should expect better free cash flow development then for the second half of the year?
Thomas Dippold: Yes. I think you read our assets type very carefully and you're completely right. Our inventory is indeed quite high. However, our working capital is still okay. We are happy with that. But we can breathe a little bit with our factoring on the liability side, But you are completely right with everything that you said. And all arguments are valid. On the one hand side, there is a currency effect in there. On the other hand, there is a price effect in there, as Torsten also pointed out. At certain inventories, when you have an opportunity to buy it, you just have to take it in these days. And this is exactly what we did. And this is also for the third reason, also in order to make sure that we grab every opportunity that we have purchasing wise in the market, and also to secure our ongoing production and supply to our customers. These are the first three reasons for that. And you know that we follow working capital management normally very tightly. This was exactly part of our mission, when Torsten and I, when we started here together with the teams here. But in these days, we are a little bit reluctant and being too strict in order to keep the inventory at the previous levels. Day wise, by the way, we are not so bad. But in absolute terms, especially when it comes to quantity x price, we have to take what we get, and this is reflected in this figure. But you can be sure, we expect a better cash flow in the upcoming quarters. That's for sure.
Torsten Derr: And Thomas, maybe I would like to add one special raw material, which goes into our carbon fiber chain, which is acrylonitrile, and the following happened; the prices went up and the result was that some acrylic fiber producers in Turkey went out of business, and there were already vessels on the way coming from Asia, and we purchased on a spot basis at very attractive prices, acrylonitrile, which we put in our storage tanks in Portugal, Lavradio, and they are quite significantly below the budget, which we make. So if there's a good opportunity to buy in times right now, cheap raw material, we do it, and this might have increased our inventory level a little bit, but you will see later on, good results coming from this opportunistic purchases.
Operator: There are no further questions at this time, I hand back to Claudia Kellert.
Claudia Kellert: There are no question at the moment. So if you want to ask questions, you have now the chance to follow the instructions of the moderator.
Operator: [Operator Instructions]
Claudia Kellert: So I think nobody want to ask questions anymore. So thanks so much for your participation, and if you have further question arising, reading our quarterly report, call the [indiscernible]. Thanks so much. Have a nice afternoon. Bye-bye.